Operator: Good morning. Welcome to Indra's 9 Months 2025 Results Presentation. I now hand the conference over to Mr. Ezequiel Nieto, Head of Investor Relations.
Ezequiel Nieto Baquera: [Interpreted] Good morning, and welcome to Indra's earnings call for the first 9 months of 2025. My name is Ezequiel Nieto, Head of Investor Relations. Let me first call your attention to the current slide, which contains the legal framework under which this presentation should be considered. Let me now introduce today's speakers, Jose Vicente Los Mozos, Indra's Chief Executive Officer; and Miguel Forteza, Chief Financial Officer. Jose Vicente, you have the floor.
Jose vicente Los mozos: [Interpreted] Thank you very much, Ezequiel. Good morning, everybody, and welcome to Indra's 9 Months 2025 Results Presentation. Indra has continued to grow and make solid progress in executing our strategic plan leading the future delivering financial results in line with our guidance and achieving significant business milestones while we keep on transforming the culture of our company. Starting with the financial results. So what I must say is that we are going to overcome and to have better results than the ones we had set for 2025. So the first question you might ask is why are you not following the guidance? Well, our objective now is to get ready for the new programs, which require operational expenses and investments. And our priority today is to get ready for the future. Our backlog and intake have grown at double digit compared to the first 9 months of 2024. And specifically, the backlog has grown by 35%, partly due to the consolidation of TESS. And intake by 20%. These figures are prior to the PEMs, the Special Modernization Programs. Revenues grew by 6% and EBITDA and EBIT by 10%. Operating profit has grown by 11% in absolute terms and the net profit reached EUR 291 million, 85% compared to the first 9 months of 2024, in part due to the consolidation of TESS. Furthermore, with the forthcoming contracts under the special modernization programs, our defense backlog will exceed EUR 10 billion during 2026. In terms of business milestones, I would like to highlight the main achievements in the implementation of the first phase of Leading the Future. We are implementing with a great commitment on the part of our teams. The first pillar of the strategic plan is Indra's focus on aerospace and defense. In defense, between September and October, we were awarded a prefinancing of 30 special modernization programs. Indra received over EUR 4.2 billion as coordinating company and a further EUR 3.6 billion through joint ventures in which we participate. Total, we will receive EUR 7.8 billion. And we also aspire to participate as subcontractors in 12 additional programs. So out of the 31 programs, we are going to be involved in 29. And this award strengthens Indra's Group position as a national benchmark in defense and as a driving force in Spain's industrial ecosystem. And that's something we saw yesterday, over 600 companies participated in the second meeting and it's been the biggest amount of companies in the area of defense. And this is going to be the starting point to become also reference -- European reference in defense. And these results are the outcome of months of work. We have a streamlined supply management, and we have concentrated spending among key partners. And we must highlight that 77% of defense procurement was sourced from domestic suppliers, and we are tripling our industrial and technological footprint in Spain, enhancing our production and delivery capacity and increasing our regional presence nationwide. Another strategic pillar of the plan is portfolio rotation. And in July, we completed the acquisition of Aertec DAS, specialized in unmanned aerial systems such as the TARSIS family. And we will also be closing the acquisition of Hispasat/Hisdesat in the fourth quarter, strengthening our position in space and secure communications. And in parallel, we are continuing to roll out IndraMind, consolidating its commercial positioning and its role within the group's technological growth. And at the same time, we are expanding our industrial footprint to reinforce our production and delivery to prepare to -- for the growing demand. As well, an example I'd like to share with you is the launch of our first automated radar production line in Córdoba with an annual capacity above 100 Nemus radar. And as you know, this radar is a benchmark that will become the future anti-aircraft system, both in Spain and in Europe or the launch of a new LTR 25 radar line with a capacity of five radar per shift. And specifically, we will be investing more than EUR 150 million over the next 2 years in Spain. And in the United States, EUR 100 million in our factors of Gijón, Vigo and Córdoba, EUR 50 million for a new plant in Kansas for mobility and ATM. Another key element is our investments in R&D&I, where in 2025, we will be investing between 8% and 10% of our annual revenue. Let's now look at these items. If we focus on the defense area, we have advanced in our position as a European reference group. As you know, the sector is going through a decisive moment driven by a significant increase in investment in Spain and Europe. And there is a clear bet to strengthen technology and industrial capabilities. And in this context, if we take a look at Spain, the government through the industrial and technological plan for the security and the defense has awarded 31 programs to modernize the capabilities and the equipment of our armed forces. Out of them, 16, which is 66% will be led by Indra or joint ventures in which we participate. In addition, we will take part as subcontractors in another 12 programs, reinforcing our presence across the entire value chain. This achievement consolidates Indra group as one of the main drivers of Spain's defense industrial ecosystem like Airbus or Navantia in their respective domains, and it encourages us to continue to strengthen our industrial and technology capabilities contributing to Spain sovereignty and security. Within this context, I would like to highlight five especially relevant programs. First, the joint tactical radio system that will provide our armed forces with secure and efficient communications, ensuring real-time information between units in the field. And second -- sorry, this program will allow all our armed forces to be able to start using this type of radio in the future. And second, the multidisciplinary connectivity in our security systems program and the Anti-Air Artillery Operation Center System, which will modernize the 18 systems of the Army and will create a single integrated one, enabling a more efficient and coordinated a combat control. Third, the next-generation integrated air system, which will allow us to continue with the studies and technology packages of new generation weapon systems within the Future Combat Air System, FCAS. This is a key project for Spain's technological and strategic autonomy. And fourth, the truck support vehicle awarded to TESS for the manufacturing of a multipurpose armed vehicle that we replace the armies armored transport, showing the state's firm commitment to this program. And finally, the advanced manufacturing program in sustainable land mobility 1, which foresees new self-propelled howitzers on wheels and the replacement of current ML109A5 units. And this program has been awarded to a joint venture formed by Indra and Escribano Mechanical and Engineering. And these programs represent a qualitative leap in the technological capabilities of our armed forces and position Indra Group as a benchmark within the defense industrial ecosystem. As I have mentioned, we have made 180 degree of our assessment and this is one of our capabilities. And we have developed what we are doing in the automotive industry. A clear example is our supply chain. In under a year, we have made a significant progress in the management by concentrating more than 90% of the defense expenditure in fewer than 550 Tier 1 suppliers, that's Plan 500. This optimization relies on a tiered structure that mobilizes a substantial portion of the national industrial ecosystem, ensuring a solid, efficient, collaborative and competitive chain. And within this plan, we haven't left any company behind. This modernization has been used to make sure that we can all work in a more organized way. And our focus has been on strengthening our domestic supplier network. In 2025, 64% of Indra's total procurement volume has come from Spanish suppliers. We have increased by 14 percentage points the previous year. And in defense, this proportion is even higher. 77% of procurement are sourced from national companies, and our target is to surpass 80%. Through these advances, we reinforce Indra's group's role as a driving force in Spain's industrial ecosystem by fostering collaboration with SMEs, start-ups, universities and research centers as we showed yesterday in the event we held with the Spanish entrepreneurial ecosystem. So now is the moment to escalate our manufacturing capabilities to make sure Indra becomes or turns what used to be an industrial company and now -- well, now we're going to add this industrial DNA that we truly need. And we are strengthening our Indra's industrial and technology capabilities through our ambitious plans to triple our industrial footprint by boosting our production and delivery capacity. As we -- and it was noted by the European Commission, the European Union has around 52% of the defense capabilities it requires, which highlights the urgency of reinforcing our industrial base. Specifically in Spain, we have decided to open several production and technology centers distributed across our territory. In Gijon, we are creating a production hub for the design and manufacturing of land platforms and vehicles throughout their life cycle. And I can mention today that before year-end, we will start with the first operations of 8x8 vehicles in our plant, which shows how agile we are transforming our industrial centers. In Vigo, we are reinforcing our technology center to specialize in electronic warfare counter UAS systems, hardware design, microelectronics and command and control systems. And we are also participating in the development of gallium nitride. And in Lugo, we are expanding our aerodrome for ground and flying testing in collaboration with Inter. It's been designed to be able to test all of Indra's portfolio. In Barcelona, we are strengthening a specialized center -- sorry, a center specialized in communications space and cyber defense. In Seville and Malaga, we are creating a center dedicated to advanced software focused on space applications and unmanned aerial systems, also supported by Aertec DAS in Córdoba. We are opening a new production site to increase our capacity to manufacture radars, command centers and mechanical structures. And within radar manufacturing, our objective is to have an excellence center for European radar manufacturing. And last in Aranjuez, we continue enhancing our capabilities in aftermarket activities and Eurofighter support with the new SMD card production line. To be able to support this expansion, we expect to hire more than 3,000 new professionals in the next 3 years in Spain in all our geographies. And internationally, I would like to announce an investment of around EUR 50 million for a new plant in Kansas in the United States to be able to support the air traffic management division in the manufacturing of radars for the American market and Radio and Mobility division with free flow tolling systems. We are already present in over five states in the United States in tolling. And this plan will generate over 200 new jobs in the United States. Let's now take a look at a new product, IndraMind. This new product that we are very proud of, it's a dual-use line, both civil and military. As we were -- as presented in the first half 2025 results from Indra Group, we continue to drive our advanced artificial intelligence platform, IndraMind. Our ambition is to offer advanced software solutions that are AI-powered that will enhance decision-making and ensure the reliability of mission-critical operations. In the recent months, we have consolidated its commercial positioning aligned with three key market trends in production solutions, cognitive superiority, intelligence and decision, autonomous operations and cyber resilience. IndraMind maintains a dual-use focus, addressing both civil and defense needs. But I would like you to know our value proposition a bit better. And that's why in the afternoon, I'd like to invite you to follow our IndraMind presentation event. As you can see, you have the link, the connection link on this page, and that will take place at 1800 hours Spanish time. As a preview of what we will be showing in the afternoon, I'd like to share with you a military use case of IndraMind. It has been applied to intelligent combat systems designed for mission planning, autonomous guidance and decision support. IndraMind will enable us to simulate complex scenarios through the massive capture of data from multiple sources, satellites, radars, cameras and ground space networks, allowing a more precise and efficient planning. Moreover, it will facilitate the orchestration of fully autonomous operations through collaborative platforms that operate with distributed decision-making. In summary, this use case allows us to first model and simulate scenarios to anticipate situations and support the decision-making process. Second, to build and orchestrate autonomous and collaborative platforms through edge computing and deployable communication nodes. And third, they will be able to ensure protected communications through secure applications and end-to-end encryption. In the afternoon, we will go into greater detail on these and other civil applications during our IndraMind event. And let me now briefly recap the progress achieved in the first phase of Leading the Future that we presented on March 6, 2024, with the first phase lasting until March 2026. Thanks to these advances, we continue to make solid progress on the pillars of Leading the Future, reinforcing Indra's focus on aerospace and defense. We have also created a new space division with end-to-end capabilities following the acquisitions of Deimos, Hispasat, and Hisdesat. The closing of the Hispasat and -- Hispasat transaction is expected to take place in the final quarter of 2025. At Minsait, we remain focused on high-value offerings, expanding on our digital solutions and advancing the potential divestment of nonstrategic businesses. And in parallel, we have reorganized our digital capabilities to be able to cater for the needs of all the business units and capture efficiencies through the new cross-cutting function, tech operations, which has already been deployed under the leadership of Sebastian Valmonde. We are strengthening our international presence. We have introduced the new role of International Director, and we have simplified our model. We have gone from 27 to 19 units to increase in agility and focus. If we continue with our portfolio rotation throughout strategic acquisitions such as TESS and Aertec DAS in Defense or Deimos and Hispasat and Hisdesat in space. We have also launched a joint venture in the Middle East with Edge Group for the design and manufacturing and selling radars to non-NATO countries besides other operations that we complement and reinforce our value proposition. We have also increased our investment in R&D with milestones such as the creation of IndraMind and the deployment of the Indra Technology Hub with around EUR 829 million already invested in R&D, aligned with our goal of reaching EUR 1.2 billion by 2026. And we are also strongly focused on attracting critical talent, throughout our country, and we have already onboarded 3 out of the 5,000 new hires planned for 2026. If these three new hires, if we add to those 3,000, the other 3,000 we are going to be adding, as you will see, we would have been able to have hired over 5,000 people in our country. And to finish, I'd like to share an important piece of information, the acceleration of the market marked by a historic increase in defense investment combined with a sustained and rapid progress across the pillars of our Leading the Future strategic plan, both in operational and financial terms, places us in an exceptional position. And in fact, we expect that by the end of 2025 on a pro forma basis, we will have nearly achieved the financial targets initially set for 2026. And moreover, Indra Group's perimeter has evolved significantly. We have executed key acquisitions in defense and aerospace, and we have launched new business lines, Indra land vehicles, Indra weapons and ammunition and Indra mine that expand our industrial technological and digital capabilities. And last, these achievements have translated into a substantial value creation for our shareholders. Indra's share price has appreciated by more than 190% since March 6, 2024, compared to 81% in the Defense index, 58% in the IBEX and 16% decline in the IT sector. This has meant that we have tripled Indra's market capitalization in the strategic plan period, reaching around EUR 9 billion this week. And that's why I would like to thank our shareholders for their trust. Within the plans framework, and the EBITDA contribution from defense and ATM has grown and it has now reached 51% of Indra's group of Indra Group. And we expect this share to increase further to the group's EBITDA in the medium term. And all of this means that the internal budgeting work for the Indra Group in 2026 gives -- provide us with financial projections well above the targets originally defined for our 2026 strategic plan. So we could say that we have completed the first phase of the plan 1 year ahead of schedule. And we have already started working for the future. This would not have been possible without the full support of our Executive Chairman, Ángel Escribano, whose industrial and technological vision I fully share for our company. And together, we have instilled a new renewed ambition across the company that reflects the extraordinary commitment and dedication of all the people who made the Indra Group. I would also like to thank the Board of Directors for the ongoing support. As a result, Indra Group is ready to take the next step in its strategic plan, moving from the focus phase to the scale-up phase 1 year earlier than planned from 2026 to 2027 to 2026, a new stage that will allow us to multiply our reach, accelerate growth and consolidate our leadership in the strategic sectors where we operate. And therefore, I am pleased to announce that we will hold a Capital Markets Day in the second quarter of 2026, a key milestone in the company's transformation journey. During that event, we will present the second phase of our strategic plan, Leading the Future scale up. We will also share at that point, the road map that will help us achieve the EUR 10 billion in revenue before 2030 as well as our strategic priorities to improve operating profitability and cash generation. Likewise, we will like to show you how this new stage of the strategic plan will continue to generate value for our shareholders. Let us now review the financial results for the first 9 months of the year for the Indra Group. The figures reflect a solid performance, allowing us to reiterate all the financial targets set for 2025. Our backlog grew by 35%, including the impact of the consolidation of TESS, which provides us with greater stability and visibility for future growth. These results were mainly driven by the strong momentum in Defense and Air Traffic management businesses. Order intake increased by 20%, double-digit growth in ATM, Defense and Mobility. Revenues rose by 6% with growth across all business areas and stable performance in mobility. We have also improved our operational profitability. The EBITDA margin reached around 11.2% and EBIT margin 8.8%, both up 10% in absolute terms. And this EBIT could have been higher. But as I mentioned, our priority right now is to get ready for the plans in operational expenses, training and CapEx. And this shows that besides tailwinds, we are working. All those of us involved in the Indra Group are working to improve our efficiency and create a more balanced business. Net profit reached EUR 290 million, an increase of 58% compared to 2024, thanks to our improved operations and also the incorporation of TESS. In terms of cash flow, we generated EUR 57 million, slightly less than 2024 due, as I have mentioned throughout the presentation, due to the work that we are doing in preparation for the increasing investment in defense. And finally, that debt remained practically neutral, which is a remarkable milestone in the context of strong sector growth. If we take a look at our sales figures in detail, we have achieved a growth of 8% in local currency and 5% in organic growth. We can also see that this positive trend has been reflected in the third quarter of the year with sales increase by 8% in local currency. In terms of the distribution -- geographical distribution of our revenue. Spain remains our largest market with a growth of around 5% compared to the same period last year. In international business that already represents 50% of total sales, we can see a special strong growth in Europe, has grown 11%. By division, Defense and ATM account for more than half of the contribution to EBITDA, reinforcing their growing weight in line with the objectives of our strategic plan in terms of the evolution of our workforce. We have achieved an evolution of 2% in revenue per employee compared to September 2024 and 3% compared to the end of last year. And we keep on attracting the best talent in the market aligned with our strategic priority of becoming an employer of choice in Spain. And as a result, we have increased our headcount by 5% compared to the first 9 months of 2024, including a remarkable increase in the defense workforce, which has been 35%. And we will continue investing in talent acquisition. And as you might imagine, if we have increased 35% in defense, you are probably able to imagine the next few months and years, our sales are going to be going to grow similarly. And now let's continue seeing the results of our business by segment during the first 9 months of 2025. As you can see, our defense business delivered a robust growth in order intake, 47%, driven by Eurofighter programs, radar contracts in Germany and Oman and the inorganic contribution of Deimos. Revenue increased by 14%, supported by Eurofighter, space and weapons and ammunition. And in addition to this double-digit growth rates, the EBITDA margin stood close to 20% and EBIT margin reached 17%. Those are figures that are true benchmark in the European defense market. In terms of ATM, the ATM division, intake -- order intake rose sharply, 57%, mainly due to the new radar contracts in the U.K. and Spain as well as radar systems in the United States, which position us as a benchmark for the transformation of air traffic that will take place in the next few years in the United States. And that's why we have already decided to invest in the new plant in Kansas. The sales increased by 16%, driven by this double-digit growth, both in the Americas, thanks to the United States and Canada and Hi-Tech and in Europe, including the United Kingdom, Belgium and Germany. And the EBITDA margin has reached 15.3% and the EBIT margin 12.4%. And now take a look at the Mobility division. Order intake rose by 10%, boosted by urban transport management systems in the San Francisco Bay Area as well as projects in Chile, Colombia and Romania. And we are still waiting for new mobility programs within Europe. Sales remained stable with growth both in Europe and Spain that offset the declines in the Americas. And margins have narrowed slightly in EBITDA margin, 6% and in EBIT margin as well. This is a dimension that we are working on. And if we take a look at Minsait end results, we have a stable progress expanding our backlog, order intake and revenue with a growth of 14.7%, 6.7% and 3.1%, respectively. If we take a look at the other companies of the sector in our country, we can see that we are above any of our competitors. And likewise, the profitability of Minsait also improved slightly. EBITDA margin has gone from 7.8% to 8.3% and EBITDA -- sorry, an EBIT margin from 5.6% to 6%. We can see a clear potential of further improvement. And under Luis Fernandez' leadership, I am sure this transformation will take place in a short time. It's going to be efficient. And that's why our current priority is to achieve greater efficiencies, advance on the cost-cutting deployment of our digital capabilities and getting even closer to our clients. And this is Indra Group's situation. And now I would like to give the floor to Miguel, who will provide further detail on the financial information. Thank you.
Miguel Forteza: [Interpreted] Thank you, Jose Vicente. Let us now continue with the main financial highlights for the first 9 months of this fiscal year. Starting with free cash flow. During the first 9 months, we generated around EUR 57 million, slightly below the figure recorded in the same period last year. However, as we mentioned in the previous quarterly earnings call, the evolution of the fiscal year follows a pattern consistent with our historical series, particularly considering the seasonality that typically affects this metric during the first 9 months of each year and which ends in a very strong fourth quarter. Therefore, we ratify our expectation of achieving free cash flow generation above EUR 300 million for the full year 2025. Regarding working capital, although the evolution of days of sales outstanding has not been as favorable as in the same period of 2024, this variation is mainly explained by the increase of inventories in defense and ATM or air traffic due to projects with longer life cycles as well as by the rise in trade receivables. As a result, we stand at plus 21 days compared to plus 6 days at the end of September 2024. As shown on the slide, the consolidation of TESS had a significant effect, adding 46 days of sales in inventories and 52 days of sales in the heading trade receivables. Let us now analyze the evolution of net financial debt during the first 9 months of the year. Over this period, net debt stood at approximately EUR 140 million compared with a net cash position of around EUR 86 million at the end of 2024. And this change is mainly due to the contribution from operating cash flows, which added EUR 348 million, the negative impact from working capital variation for EUR 172 million. And finally, nonrecurring financial effects associated with investments amounting to about EUR 257 million. As a result, the net debt-to-EBITDA ratio remains at very solid levels, standing at around 0.2x. This reflects an almost neutral financial position, very similar to the one posted in September 2024. Finally, regarding the structure of our debt, we continue to reduce the average cost of gross debt now at around 3.2%, down from 4.2% at the end of 2024. Consequently, the average debt maturity has extended to around 3.2 years compared with 1.5 years in the same quarter of the prior year. On the other hand, we closed the quarter with a cash position of approximately EUR 604 million. Finally, the company holds around EUR 790 million in available credit lines, including financing from the European Investment Bank of roughly EUR 385 million with a defined allocation of funds. We now conclude our presentation and move on to the Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of Beatriz Rodriguez from Bestinver.
Beatriz Rodriguez Fernandez: I have a question about the PEM programs. You said that we already know the loans that will be -- or that were granted in 2025. Can you give us some color as to the percentage of total programs in connection with those loans? Have you received any details from the government concerning these PEMs? Are there any figures that you can share with us? And on the other hand, I would like to know the outlook for 2026. I understand that you are planning to invest 2% of GDP next year. I would like to know whether you have any outlook for 2026 and subsequent years?
Jose vicente Los mozos: [Interpreted] On the contracts, well, we have seen by the government. We have a joint radio systems. It's a contract that compared to the funding of EUR 768 million, it accounts for 65%. And this is the first phase because we are going to renew 100% of all the networks of our army. So we expect more phase in the future. Our second program, the multidisciplinary connectivity. It's a joint venture with Telefonica with a contract of EUR 785 million with a funding of EUR 380 million that accounts for 40% -- 48%, right. And the crypto capability is EUR 159 million program through ApeCoin with a funding of EUR 67 million. As contracts are launched, we will inform them. Are we working for the PMs from the specialization programs. Of course, we are. I believe there's a commitment of the government of Spain and the President mentioned that they are going to invest 2% to keep on adding an increasing capability. So we are working with that hypothesis in mind, and we are working around two main axles. Space programs, we believe that we have an important element to play with here because within the European program, Phase 1 is to improve space capabilities in Europe and our country has something to say there as well. That's why we are working to make sure the SMPs include space programs, and that's why we've made the investment. We have paid EUR 725 million for Hispasat and controlling Hisdesat and the anti-air system. We have a first phase ready in Spain with 18 teams, but with one of our European competitors, we are the anti-air system that's better prepared. And not only are we thinking about selling in Spain, but we are planning to sell in Europe. And we believe that in the 2026 plans, the first 18 systems that are our part of the plan in 2025, we believe that those -- they are going to be expanded throughout all the Spanish air systems. Those are two examples on which we are working, and that's why we are investing. In the case of the anti-air system, we are investing in important and robust production lines to be able to respond to the demand that the Spanish and European markets are requesting.
Operator: Next question from Juan Cánovas from Alantra Equities.
Juan Cánovas: [Interpreted] Going back to the prior question, could you give us more detail as to the percentage that Indra would hold in these programs, PEM programs? And concerning contracts in Europe, could you please let us know which your target is in Europe? Or how can Indra achieve the same success in Europe as in Spain?
Jose vicente Los mozos: [Interpreted] On the joint ventures. Well, as you know, once the contract is ready, we need to develop the industrial plan. So when the industrial plan is developed, we will be in a situation in which we'll be able to tell you which is our share we're going to get. Those that are led by us, those are programs we consolidate and we have to provide both the Ministry of Defense and Industry, our industrial plan. Because -- let's not forget that we need to deploy over 30%. With 30% have to be in the hands of Spanish suppliers. So as the contracts, we work on the contracts, we'll be able to share -- tell you which is the share -- the shares are throughout the value chain. On European programs, I'd like to share with you some examples. Spatial Vigilance Radars, and we've only gotten two in Spain, and we believe that within the European program, we have been the first company in Europe, and that's what I showed Commissioner Kubilius, and I showed it in Brussels a few weeks ago. We have created a portfolio with all our products, all the products that can be used within the set program. And where is Indra relevant? Well, we've already shown it in radars, that dual use, civil and military and the LTR-25 and the Lanza radars. Those are radars that are at the same level as any other radar manufacturer in the world, may them be American or European the NTO system, well, is advanced, thanks to the joint venture we have with Escribano, because otherwise, if we did not have that joint venture, we couldn't cater for whole programs within the aerospace. And that's why we are working on the possible operation with Escribano, because that's going to add to our product capabilities, and it will include an industrial DNA that the speed at which we are transforming will be extremely helpful to keep on catering for the needs of Indra's objectives.
Operator: Next question from Carlos Treviño from Santander.
Carlos Javier Treviño Peinador: [Interpreted] I would like to deep dive into defense possibilities, taking into account the backlog that you announced for 2026. I believe that those EUR 10 billion would account for pure business for Indra regardless of the participation of other companies in such projects. So do you expect to include all the PEM projects into the backlog that have been awarded in Phase 1? Or do you think that there are other projects that could be assigned in subsequent years and therefore, would not be included in the 2026 backlog? I would like to know about the average life of such backlog, taking into account that we are talking about multiyear projects. And considering additional cost in order to address future growth, can you quantify how that has affected your operating profit for the year and what could happen going forward?
Jose vicente Los mozos: [Interpreted] Well, we have to make a difference between the washer and intake -- order intake. When we are saying that it's over EUR 10 billion, we are not only thinking about the plans. So we think about SAFE and other international programs that -- in which we're in. And that's why in the Capital Markets Day, we will be able to provide more detail. Once we know all the 2025 programs. So once we know SAFE orders, we will be able to provide a figure, but I believe that EUR 10 billion is quite conservative. If we take a look at everything that's going on in Europe, these are 3- to 6-year programs. And in many of the cases, this is just the first phase. So let's talk about specific programs, the radio program. That's the first phase. In the first phase, with the first phase, we won't be able to transform 100% of the radio systems. There are going to be more phase in the next few years. So the anti-aircraft system with 18 anti-aircraft systems, that's not enough for the Spanish system. So that's one first phase. And well, it is the Ministry of Defense, the one that will set its priorities, and they will explain which are the priorities for the armed forces. What we are doing within these programs, this benchmark programs is not just thinking about Spain, but actually thinking about Europe. And taking a look at some international markets because the volume effect will improve our competitiveness to reach markets that maybe are out of our reach today.
Operator: Next question from David López Sánchez from JB Capital.
David Sanchez: [Interpreted] I would like to follow up on the prior question about the backlog of EUR 10 billion for 2026. Would that include Indra's interest as main contractor would include its participation as a member to joint ventures? And what about the financing that has been recently approved for defense programs? Can you give us some color as to how that dovetails with your backlog and the amounts that you expect will be reported in the last quarter of 2025?
Jose vicente Los mozos: [Interpreted] In the EUR 10 billion, we include everything, both joint ventures and the ones in which its just Indra. So that's the whole business figure. In terms of funding, Miguel, please?
Miguel Forteza: [Interpreted] Okay. Let me explain the dynamics behind this prefinancing in order to get it right. Each contract will be associated with an account where the Ministry of Industry will be making deposits for the prefinancing that has already been granted. Such accounts will be independent accounts, restricted cash accounts, so to speak, that will only be available as stated explicitly in the agreements. We don't know the details yet, but all the milestones will be set out under agreement. Therefore, that restricted cash will be released according to such terms. When that happens based on certified milestones authorized by the Ministry of Defense, they will be recorded as cash flows for the company. Now while the financing is on the restricted cash accounts, we are going to have a neutral financial effect with other financial assets and liabilities that will have no effect whatsoever on our debt ratios. As you very well know, these ratios are not impacted by such advanced payments. And as for the amounts concerned, they have already been disclosed. There are some prefinanced amounts for each contract, and there are some allocations that will be made in 2025 all the way to 2031, that is a full breakdown of such amounts.
Jose vicente Los mozos: [Interpreted] Something I forgot to mention to Carlos Treviño from Banco Santander. There is the impact of the preparation for the special modernization programs. I want you to know that operational expenses made in the third quarter. Well, I ask the team to recover to have the same EBIT as the one we had in 2024 without the preparation, so above 18%...
Operator: Next question from Carlos Iranzo Peris from Bank of America.
Carlos Peris: I have two, if I may. On the more than EUR 10 billion defense backlog in 2026, any color about how many billions or what is the percentage of this backlog that is coming from the PEM programs versus non-PEM? And then the second question, just coming back to the path to EUR 10 billion sales. I mean you already mentioned back in February this year that you could deliver EUR 10 billion sales in 2028. So I guess post PEMs allocation, clearly, the growth outlook has strengthened significantly. So should we then think that it could be possible to potentially achieve those EUR 10 billion earlier?
Jose vicente Los mozos: [Interpreted] Let's try to understand this correctly, the EUR 10 billion, most of them are going to be PEMs and Special Monetization Programs but not just that. We have other elements in which we're working like SAFE our other European programs or international programs. But the base that we take as a benchmark and I still believe it's a conservative figure are the 2025 PEMs. On the EUR 10 billion, we never said 2026. What we said was that our ambition was 2030. Today, I can say, and our President mentioned already that his intention was to be able to get there by -- in 2028. And that's what we're working towards. And I believe that from today until the Capital Markets Day, we'll be able to tell you when we're going to reach those EUR 10 billion.
Operator: Next question from Michael Briest from UBS.
Michael Briest: Just on going back to the loan program. I think I heard you say that on the MC3 program, you've got loans of EUR 380 million and the contract value is EUR 785 million. Is that ratio of loan to order roughly the same across the entire EUR 7 billion loan book? And then just in terms of test focusing on the here and now, could you talk about the deliveries in Q3? I know there were 11 in Q2 and you were hoping to do 60 as a minimum this year, but it doesn't look like there was much contribution in Q3. And therefore, do you still think you'll hit 60 units for the year?
Jose vicente Los mozos: [Interpreted] First of all, while Miguel will explain the financial part about non-vehicles, our commitment was to be able to provide one division or 57 vehicles and reach 70. That's what we are working for and that's -- that was our commitment, not just Indra's commitment, but the rest of the partners that are part of TESS. So [indiscernible] and Escribano, because this is a commitment that has to be a commitment by all of the 4 companies, although it is true that starting in July, Indra is leading TESS on the figures...
Miguel Forteza: [Interpreted] Okay. Let me supplement the CEO's remarks. As you know, in Q3, there were no significant revenue coming from TESS, but we believe that, that will come from future deliveries. As the CEO mentioned, we expect that to take place in Q4. As for financing ratios and contracts, we provided an example concerning the EUR 380 million financing for a total contract of EUR 785 million or 48%. You are right. However, we should take into account that we need to wait for the agreements to be formalized. We need to know exactly the terms and conditions governing those agreements. Otherwise, it will not be possible to start setting out a clear ratio and therefore, think about an increase in our backlog. We have to weigh whether phases will be established, whether they will have a full or partial scope or outreach. Nonetheless, as soon as we formalize those agreements, we will keep you posted because all that information will be included as part of our backlog and order intake. For the time being, we cannot report a standard ratio because we believe that these figures might change significantly in some cases and from one contract to another, there might be variations. Next question, please.
Operator: Next question from the line of Jessica Agarwal from Goldman Sachs.
Unknown Analyst: I just have two on basically the other -- like the segments. First of all, the air traffic management. It was like a slight decline organically, but I understand it can be lumpy. So how are we tracking when it comes to that like expectation around a low double-digit growth in this segment? And how do you see that developing over the span of next 12 to 18 months? And the second one is basically like any update on Minsait as in like what exactly we completely understand there is a part like where you want to keep the core and there are some businesses which might be like available for sale. So any updates on that would be helpful.
Miguel Forteza: [Interpreted] It is true that as for ATM, the past quarter was not as solid as we initially expected, but we should take into account that in the first half of the year, ATM revenue grew by 25%, 26% roughly. And therefore, that is what we need to take into account. However, as for the end of the year, we expect a double-digit growth in ATM. Maybe you might remember that at the beginning of the year, we said that we expected a high single digit concerning revenue coming from ATM. Now however, we estimate a double-digit growth by the end of 2025. As for our outlook with regards to the next 12 to 18 months, it's pretty clear as the CEO pointed out, we expect the same growth as the one we estimate for other regions such as the United States, where we said we are going to be making an investing effort in the Kansas plant through the contracts that have already been awarded to Indra, taking into account the American Aviation agencies, they are going to be investing up to EUR 10 billion in total. And we're also focusing on Asia Pacific as another region.
Jose vicente Los mozos: [Interpreted] Just to reinforce what Miguel Forteza mentioned, when we're talking about ATM, we cannot focus on a quarter because we don't really control the contracts. We are talking about over 50%. So it's normal in one country to be ahead of time, some others a bit lag behind. It's important to see the difference year-to-year. And what I can say is that in ATM, today, we have the most advanced solution in the market. And I'm saying this not just for the sake of it, but I came back from the United States 2 weeks ago, and I can say that airport authorities are very happy with Indra solution. And we have NAF Canada as well and in London, we've got Eurocontrol, the Middle East. So it's not happening by chance that we are in most markets in the world. So I'm not concerned on nonstrategic assets at Minsait. Well, we -- both the President and myself, we know which are the assets that are not nonstrategic. There are several processes open. And if there's a proposal that satisfied the needs and the expectations of the company, we will carry it on. We are not in a situation which we can -- we want to lose value or just lose assets. If we understand that there's a proposal and that amount helps us invest on another asset that generates more value for our shareholders, we will do it. And we will inform you as it happens. So at a point in which the company is getting transformed. And we are talking about 20%, 50% of contracts, 100% in defense. We are getting our portfolio organized. We are 1 year ahead of schedule in our strategic plan. And at the same time, we haven't increased our leverage at all. So well, I believe that there's going to be a business case in the next few years to see how in 2 years, we turned around the company.
Operator: Next question from Nicolas David from ODDO.
Nicolas David: The first one is regarding IndraMind. Could you help us understand the magnitude of the opportunity in terms of order intake you see regarding the contracts which are part of PEMs linked to digital and cybersecurity? And what could be the time frame for those allocations? My second question is regarding CapEx. Now that you have a bit more visibility on the contract we signed, what kind of CapEx to sales do you expect in the coming years? Should it increase? Or is the level of 2025 something we should consider for the future?
Jose vicente Los mozos: [Interpreted] IndraMind is a solution that Europe needs for its technology sovereignty with that dual use for civil and military. So with the President, we assessed Indra within Minsait, we have many use cases, both civil and military, but we have a platform. And I believe that for that European sovereignty, IndraMind can provide a solution, both in military and civil cases because we already have the use cases. So on the information, well, in the afternoon, there's an event at 6:00 p.m. Spain time, and I don't want to advance any of the things that we're going to be mentioning in the afternoon because our teams are working and fighting to explain the market what IndraMind is going to be, what we are going to do with it and what we expect. And I don't think it is right to reveal beforehand what we're going to be communicating in the afternoon. So those were the results for the first 9 months of the year. And as I mentioned, well, first of all, I want to thank our teams. Indra group has nothing to do with what I was here before I got here. The arrival of our President in January has accelerated it because we share a vision and we share a project. I believe that yesterday's event with the companies is a clear turning point of what Indra means in the Spanish sector. And we I'll finish with the idea of Minsait's going to be sold or not. We are working together. We have turned ATM into a leading company globally in its sector. We have transformed mobility with benchmark projects like the projects in the United States or some other projects we are about to launch in Europe that are going to be relevant from a global perspective in defense, we did our portfolio rotation. For example, we are experts in raiders at a world level, we are working on anti-aircraft systems. We have entered the space and securing communication. And the result of it all is that we have advanced in a year our strategic plan, and we are already working on a road map towards those EUR 10 billion. One year ago, none of you expected Indra to achieve EUR 10 billion before 2030. And we are going to get there. But not only are we're going to get there in terms of sales, but we are going to be leaders in terms of profitability and with a very low debt. And that's possible, thanks to the work of the whole team, and we will keep on working. Thank you very much, and see you in the annual results presentation and in the second Capital Markets Day. Thank you very much for your trust. [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]